Operator: Thank you for standing by, and welcome to Snail, Inc.'s First Quarter 2025 Earnings Conference Call and Webcast. I would now like to turn the call over to Steven Shinmachi with Investor Relations.
Steven Shinmachi: Thank you, and good afternoon, everyone. Welcome to Snail Inc.'s first quarter 2025 earnings conference call and webcast. Joining us for today's call are Snail, Inc.'s Co-CEO, Tony Tian; Senior Vice President, Director of Business Development and Operations, Peter Kang; and Chief Financial Officer, Heidy Chow. The company's first quarter 2025 earnings press release was filed earlier today and is available on the Investor Relations section of Snail Inc.'s website at www.snail.com or the SEC's website at sec.gov/edger. During this call, management may make forward-looking statements regarding future events and the future financial performance of the company. Actual events and results may differ materially from our expectations and forward-looking statements are subject to certain risks and uncertainties. Please refer to the company's Form 10-Q that has been filed with the SEC, the most recent Form 10-K that was filed with SEC on March 26, 2025, and other SEC filings. The company may make these forward-looking statements as of today and disclaims any duty or obligation to update them or to release publicly any updates or revisions to any forward-looking statements to reflect any change in its expectations or any change in events, conditions or circumstances, on which any such statement is based. Additionally, on today's call, we refer to bookings and EBITDA, which are non-GAAP financial measures and provide useful information for the company's investors. You will find a historical reconciliation of bookings and EBITDA to the corresponding GAAP measures in the earnings press release and the company's SEC filings. And now, I will turn the call over to Tony Tian, Co-Chief Executive Officer of Snail. Sir, please proceed.
Tony Tian: Thank you, and good afternoon, everyone. Thank you for joining us today to review our financial and operating results for the first quarter ended March 31, 2025. The first quarter saw strong growth across our top-line, delivering revenues of $20.1 million or 42.5% increase compared to Q1 2024. Our bookings also grew 13.6% to $22.2 million, compared to the same period last year and our total unit sold increased 45% to $1.5 million, primarily driven through our flagship ARK franchise. Following the successful launch of the Extinction DLC and Part 3 of Bobs Tall Tales DLC last quarter, we were excited to introduce the Astraeos Map for ARK Survival Ascended. This new content brings a unique twist steeped in Greek mythology, offering players a fresh and immersed experience. Player engagement across the ARK franchise continues to remain strong. As of March 31, 2025, ARK has been played for 4.0 billion cumulative hours with the average playing time per user reaching 162 hours. In late December, our last year, we marked a significant milestone in expanding the ARK Universe with the launch of ARK Ultimate Mobile Edition. The response has been exceptional. Since launch, the mobile title has surpassed 4.8 million downloads across iOS and Android platforms as of March 31, 2025. In the three months it ended March 31, 2025, ARK Ultimate Mobile Edition had an average DAU of approximately 144,000. We recently expanded the mobile experience further with the release of two fan favorite maps, Ragnarok and Extinction, and we remain committed to delivering fresh content through this rapidly growing segment. Mobile continues to be a key growth area for the ARK franchise, effectively lowering the hardware barrier to entry and expanding our reach to a broader global audience. We also attended the 2025 Game Developer Conference or GDC this past March. Peter will dive deeper into what we -- what was revealed during the event, but I'm excited to announce new upcoming content and DLCs for the ARK franchise activities and content celebrating ARK's 10-year anniversary. The review of two new internally developed projects and showcasing several new titles that will expand our growing portfolio of games. Beyond traditional gaming, we also announced an encouraging announcement with our subsidiary Interactive Films, the division has Snail that focused on creating content in the vertical short film segment of the digital entertainment markets and the Interactive Films division is our very own short film mobile distribution platform Salty TV, which hosts 49 short film dramas as of this quarter end. Just last month, we signed an MOU with Mega Matrix, Inc. a publicly traded entity under the NYSE America, which operates a similar platform to ours called FlexTV, a short video streaming platform that produces and hosts short dramas. Under this MOU both parties have committed to co-developing at least 10 short dramas. Both parties will leverage their respective strengths to establish a comprehensive collaboration framework for the joint development, production, and global distribution of short dramas through our respective platforms to reach audiences across North America, Southeast Asia, and other global regions. This includes a collaborative effort on the creative direction and script development of the short dramas, jointly overseeing production progress and budgeting and providing an avenue for both organizations to broaden reach by tapping into each other's audience. This partnership is strategic and ideal for both parties as we both continue to expand our content portfolio and grow our presence in the global short drama industry, by combining mathematics, established production and distribution capabilities with our expertise in AI and immersed storytelling, we remain committed to accelerating this portion of business and expanding our portfolio of short dramas on the Salty TV platform. Snail remain committed to delivering fresh content and experiences that engage our audience and players across multiple platforms and genres. With that, I will now hand it over to Peter who will provide updates to the ARK franchise, stick to the upcoming 10-year anniversary of ARK: Survival Evolved, our expanding game portfolio and additional new information that was reviewed at GDC. Peter?
Peter Kang: Thanks, Tony, and good afternoon, everyone. As many of you know, June 2025 will mark the 10-year anniversary of our flagship title, ARK: Survival Evolved. What began as an ambitious sandbox survival game with dinosaurs, robust taming mechanics and deep crafting systems has evolved into a global franchise with a passionate player base and a thriving creative content ecosystem. Looking back, ARK: Survival Evolved was more than just a game launch. It was a bold step into an up and coming genre that demanded innovation, risk taking and a close relationship with our community. From the early days of early access to the full release and the many expansions that followed, ARK has continuously pushed boundaries and adapted to new platforms, new technologies, and new player expectations. In the past 10 years, we've expanded the ARK Universe across PC, console, and mobile, brought cinematic storytelling and voice talent to the forefront, and connected millions of players worldwide. At the heels of the 10-year anniversary, we unveiled several exciting updates for the ARK franchise at this year's Game Developers Conference. The first was the reveal of a teaser trailer for ARK Aquatica, giving attendees an early look at the upcoming expansion map. The new map introduces a significant change in gameplay, with roughly 95% of the environment taking place underwater. The expansion reflects our continued efforts to diversify gameplay and evolve the ARK experience as the franchise approaches its 10-year milestone. The new DLC map is expected to launch in the coming months. We also unveiled the official trailer for ARK: Lost Colony, the next major DLC for ARK: Survival Ascended. This new expansion is being produced by Studio Wildcard, expected to launch at the end of the year, we're proud to collaborate with such a respected and talented studio and are committed to delivering high quality content for players of ASA. As Tony mentioned earlier, we recently launched two new maps for ARK: Ultimate Mobile Edition, expanding the game's content and enhancing the mobile experience for our players. Looking ahead, we plan to release additional expansion maps including Genesis Part 1 and Part 2 later this year as part of our ongoing efforts to support and grow the mobile platform. The mobile launch last year marked a transformational milestone for the ARK franchise, enabling us to reach a broader audience that was previously limited by hardware requirements. Mobile has become a vital sector in the gaming industry and ARK: Ultimate Mobile Edition now allows us to engage a completely new segment of players and continue to drive franchise growth across multiple platforms. Beyond these major content updates, we're also preparing a series of additional releases and announcements as part of our broader plans to commemorate the franchise's 10-year anniversary. Onto Bellwright, last month we celebrated the one year early access anniversary of the game. The feedback from launch has been exceptional. As of Q1's end, we sold over 417,000 units and the Steam wish list count remains over 1 million. Celebrate this milestone, we introduced a major update into the game with new content and player requested features that reflect our commitment to the long-term support for the game. We're especially excited to bring Bellwright to the Xbox platform in Q4 of 2025. Opening the experience to an even broader audience and continuing our efforts to make the game accessible across multiple channels. The upcoming console launch represents a significant achievement in our roadmap and reflects our ongoing commitment to cross platform expansion and reaching a wider player base. Outside of ARK and Bellwright, we made several other announcements to upcoming games. We debuted teaser trailers for Nine Yin Sutra: Wushu and Nine Yin Sutra: Immortal, which are two in-house developed projects. We also showcase new trailers for upcoming games such as for the For The Stars, Honeycomb: The World Beyond, Robots at Midnight, and Echoes of Elysium. Our indie publishing label, Wandering Wizards launched two new titles this quarter and recently acquired the publishing rights to Whispers of West Grove, an upcoming psychological horror game developed by NVNT Studios and Rebel Engine, a Hack n' Slash with the speed and gunplay of a 1990s first person shooter developed by Seven Leaf Clover out of Buenos Aires, Argentina. The continued growth of Wandering Wizards reflects our larger goal of diversifying our creative output, expanding into new genres and partnering with a wider range of independent developers strengthens our position in the indie publishing space and supports our long-term vision of building a more diversified and resilient entertainment portfolio. With a strong lineup of upcoming titles and new content for the ARK franchise along with additional content tied to the 10-year anniversary, we remain committed to delivering fresh, engaging experiences for our players and in turn driving returns for our shareholders. With that, I will now turn the call over to Heidy to discuss our financial results. Heidy?
Heidy Chow: Thank you, Peter, and hello, everyone. Thank you for joining us today. I'm pleased to share the details of our financial results for the first quarter end of March 31, 2025. Net revenue for the first quarter was $20.1 million, a 42.5% increase compared to $14.1 million in the same period last year. The increase was primarily due to an increase in total ARK sales of $2.7 million, an increase in ARK mobile sales of $1.3 million, and the company deferring $3.3 million less sales during the first quarter of 2025 compared to the same period last year. We defer less revenue this quarter as the majority of ARK: Survival Ascended DLCs have been released. Requiring a lower percentage of each ARK: Survival Ascended sales being deferred in 2025. Net loss in the first quarter was $1.9 million compared to a loss of $1.8 million in the same period last year as a result of the aforementioned increase in net revenue, offset by increase in cost of revenues and operating expenses, a result of our increasing headcount, research and development and marketing expenses. Bookings for the three months ended March 31, 2025, increased 13.6% to $22.2 million compared to $19.6 million from the same period last year. The increase was primarily due to the release of ARK: Survival Ascended DLC Astraeos this quarter and the release of Bobs Tall Tales and Bellwright in the later quarter of 2024. EBITDA for the quarter ended March 31, 2025, was loss of $3.2 million compared to a loss of $1.9 million in the prior year period. The decrease was primarily due to an increase in benefit from income taxes of $1 million, a decrease in interest expenses of $300,000 and an increase in net loss of $100,000 partially offset by a decrease in interest income and interest income related party of $100,000. As of March 31, 2025, unrestricted cash and cash equivalent was $9.4 million. To review our detailed financial statements, please refer to the earnings press release and the Form 10-Q filed with the SEC. Before I hand the call back to the operator for the Q&A session, I would like to take a moment to address the current tariff landscape and share a brief overview of our key goals and strategic opportunities for 2025. We believe that the direct impact of tariff on our business is likely to be limited. However, indirect effect may still influence our business. These include a potential rise in the price of console platforms like Xbox and PlayStation, which could defer new players who don't yet own a console. Additionally, increased hardware costs and broader economic uncertainty stemming from tariffs may deepen overall consumer spending, including on premium gains. That said, PC gaming accounted for approximately 48% of our revenue in 2024, compared to 41% from consoles. We also believe that our ARK mobile game will help offset some of the broader effects on tariffs, as we continue to launch new paid content in the future and given the mobile mode hurdles the barriers of owning a console. Since current gen consoles are past the mid-lifecycle of a console generation, we don't view a possible increase in console prices as a major long-term concern and remain cautiously optimistic. Additionally, the gaming industry has historically shown resilience in the face of economic uncertainty. While short-term impacts are possible, we remain confident in our ability to adapt to changing economic conditions. Looking ahead to the rest of the year, as Peter mentioned, we're gearing up to celebrate the 10-year anniversary of ARK: Survival Evolved franchise with a series of upcoming releases and announcements in the works to commemorate the game's long lasting legacy and dedicated player community. We remain focused on expanding the global reach of our games, bringing our content to new audience around the world. The ARK mobile game will continue to play a key role in this effort, as mobile broadens the franchise's accessibility and impact across a wider player base. Beyond ARK, we are actively investing in scalable growth opportunities across adjacent genres and emerging platforms. Our goal remains to deliver innovative, engaging experiences that resonate with players across diverse platforms and game styles. Thank you all for joining us today. We will now open the line for Q&A. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from Michael Kupinski with Noble Capital Markets. Please proceed with your question.
Michael Kupinski: Thank you, and congratulations on your strong quarter. A couple of questions. I was wondering if you can just talk a little bit about your approach to revenue diversification. I know that you had a number of initiatives here. I just kind of wanted like to hear your strategy for that.
Peter Kang: Thank you. This is Peter Kang and we'll address your question here. We're actively exploring and investing in new business or games that will improve revenue diversification. For example, we have launched a short drama business and signed an MOU with Mega Matrix to accelerate our penetration in that industry. On gaming, we're always releasing games we acquired from our gaming network this year with Robots at Midnight, Honeycomb: The World Beyond, and Echoes of Elysium, all releasing this year. We expect the new revenue streams will have a meaningful contribution for our revenue diversification efforts.
Michael Kupinski: And Peter, you mentioned MOU. I was just wondering if you could talk a little bit about the revenue implications of MOU with Mega Matrix.
Peter Kang: Thank you. I'll just -- I'll let Tony address this one. Tony?
Tony Tian: Sure, sure. Hi Michael, I think at this moment, it's probably a little early to measure the potential revenue contribution from the short drama business as we just announced the MOU. But what I can tell is that we have an in-house team and we have been evaluating developing the land of business for quite a while. And over the past several weeks the MPO team and also our in-house team has been working together. At this moment, we are in the early stage to working on a couple of short drama series. So there will be some revenue contribution from that line of business. But at this moment, we don't have a specific number of how many short drama series we will be developing, producing this year. Based on the MOU, we're and the two parties has -- are willing to co-develop at least 10 drama series over the next 12 months.
Michael Kupinski: Got you. And then I was wondering if you could talk about obviously you had some cost increase significantly some of the research and development costs certainly for some of these products and so forth, but also from advertising and marketing, which was up about $1 million or so. I was just wondering if you can just talk a little bit about advertising and marketing costs and how we should think about those line items as you kind of look to the upcoming quarters.
Peter Kang: Got you. This is Peter again. Well, we increased the size of our portfolio and as such, marketing expenditures should be increasing. In 2025, we attended the GDC Expo, had a booth there and unveiled several games and DLCs in our content pipeline. Those unveiled including ARK: Aquatica, ARK: Lost Colony, Nine Yin Sutra: Immortal, Nine Yin Sutra: Wushu, just to name a few. Majority of the increase is associated with our GDC participation. We also increased our marketing spend to support game releases in 2025. In addition to the new DLCs for the ARK franchise, we also announced Robots at Midnight, Honeycomb: The World Beyond and Echoes of Elysium. We're truly excited about these releases. Moving forward, we do not expect to see such quarter-over-quarter increases as we refine our game unveiled strategies and explore our participation in other game shows.
Michael Kupinski: Got you, Peter. And my final question is, obviously this is, you have a lot of expenses, a lot of product launches and so forth. And I would assume that you're going to monetize that in coming quarters. But how do we -- how should investors look at the bottom line and your approach to turning net income positive?
Peter Kang: Great question. Our approach to positive bottom line really centers around cost control and diversified monetization. On the subject of cost control, we outsource certain development functions and reduce our fixed cost and internal headcount burdens. Furthermore, R&D and marketing expenses are tightly aligned with focused projects and near-term revenue targets. Onto monetization, we have expanded into the short drama business inside of MOU with Mega Matrix to accelerate the short-term drama of business growth. We have premium mods monetizing an ARK: Survival Ascended, allowing Snail to scale content with minimal internal investment. We have remade our ARK mobile game ARK: Ultimate Mobile Edition and that in itself can drive high margin micro transactions. We continuously seek our investments in profitable and scalable content to add to our content pipeline.
Michael Kupinski: Terrific. That's all I have. Congratulations. Keep up the good work.
Peter Kang: Thank you.
Operator: At this time, this concludes Snail, Inc.'s first quarter 2025 conference call. If your question was not taken, please contact Snail, Inc.'s IR team at snal@gateway-grp.com. Thank you for your participation and you may now disconnect.